Operator: Good day, and welcome to the Ligand Second Quarter 2025 Earnings Call. [Operator Instructions] And finally, I would like to advise all participants that this call is being recorded. Thank you. I'd now like to welcome Melanie Herman, Executive Director of Investor Relations, to begin the conference. Melanie, over to you.
Melanie Herman: Good morning, everyone, and welcome to Ligand's Second Quarter 2025 Earnings Call. During the call today, we will review the financial results we released earlier today and provide commentary on our partner pipeline and business development activity, followed by a question-and-answer session. Before we get started, I would like to point out that we will be discussing non-GAAP results, which excludes certain items such as stock-based compensation, amortization of intangible assets, amortization or impairment of financial assets, losses from derivative assets and expenses incurred to incubate the Pulpo business, amongst others. I encourage you to review the reconciliation of these non-GAAP measures to their most directly comparable GAAP measures, which can be found in today's release available on our website. We believe these adjusted measures provide valuable insight into our core operating performance, both historically and moving forward. Our earnings release and a link to today's webcast can be found in the Investor Relations section of our website at ligand.com. With me on the call today are CEO, Todd Davis; Chief Financial Officer, Octavio Espinoza; SVP of Investments and Business Development, Paul Hadden; and Vice President of Strategic Planning and Investment Analytics, Lauren Hay. This call is being recorded, and the audio portion will be archived in the Investors section of our website. On today's call, we will make forward-looking statements regarding our financial results and other matters related to our company's business. Please refer to the safe harbor statement related to these forward-looking statements, which are subject to risks and uncertainties. We remind you that actual events or results may differ materially from those projected or discussed and that all forward- looking statements are based upon current available information. Ligand assumes no obligation to update these statements. To better understand the risks and uncertainties that could cause actual results to differ, we refer you to the documents that Ligand files with the Securities and Exchange Commission, or SEC, that can be found on Ligand's website at ligand.com or the SEC's website at sec.gov. With that, I will now turn the call over to Todd.
Todd C. Davis: Thank you, Melanie, and good morning, everyone. Thank you for joining us today. When I took on the role of CEO in the fourth quarter of 2022, we set out a new vision for Ligand. That vision was ambitious, and it required growth as an organization. Today, I am pleased to confirm that our new strategy at Ligand is working and producing tangible outcomes. Our second quarter results reflect strong momentum across our expanding royalty portfolio, evidenced by an increase to our 2025 financial guidance, which Octavio will cover in detail later on the call. Slide 3 highlights our financial and portfolio achievements in the second quarter. Royalty revenue grew 57% over the same quarter last year, and adjusted EPS increased 14%, reflecting strong performance across our portfolio. We ended the quarter with a strong balance sheet, including approximately $450 million in deployable capital, factoring in our undrawn credit facility. I am very proud of our team's execution and our continued commitment to disciplined capital investment. During the quarter, we completed the strategic merger of Pelthos with Channel Therapeutics, which I will go into more detail on in a few slides. As part of a recent $40 million investment commitment, we partnered with Medtronic and Orchestra BioMed to support development of 2 promising cardiovascular therapies. AVIM therapy and Virtu SAB therapy. Notably, Orchestra BioMed has received 4 breakthrough device designations from the FDA across these 2 programs, recognition that underscores the potential of these innovations to address significant unmet needs in cardiovascular care. Paul Hadden will provide additional detail on these investments later in the call. Finally, we are very pleased with Merck's recent announcement of its planned $10 billion acquisition of Verona, and we are optimistic that Merck's global scale and commercial capabilities will further accelerate the launch trajectory of [indiscernible], where we receive a 3% royalty on worldwide net sales. We would like to congratulate Verona on all that they have accomplished to bring this novel product to market and one of the most important advances in the treatment of COPD in history. Moving to the next slide, I'd like to provide some important updates on Ligand's portfolio. Verona's partner in China, Nuance Pharma, announced positive data and completion of its Phase III trial in China. Merck's entry into this arena should further fortify the global commercialization of the asset and continued U.S. launch, which has been the strongest COPD launch in history. Stating the obvious, one of the benefits of royalty investing is as the equity investors in Verona are cashed out in the acquisition, we as royalty investors continue to participate in what we hope will be the outperformance of O2vir as Merck continues to launch this product globally. Turning to Filspari. There are a few upcoming catalysts, including the REMS modification PDUFA date of August 28, which will determine if IgA nephropathy patients can change from monthly to quarterly REMS monitoring. In Filspari's second indication, FSGS, there is an upcoming advisory committee meeting in the second half of 2025 to discuss the application. The FDA has assigned a PDUFA date of January 13, 2026, to the FSGS indication. This approval has the potential to double the sales potential for this product. Record ID reported sales of Qarziba grew 12% in the first half of 2025, reaching EUR 78.5 million. Ligand earns a high teens royalty on Qarziba sales. In addition, the FDA granted Recordati orphan drug designation for Qarziba in Ewing sarcoma and a clinical trial was initiated in the second quarter to evaluate safety, dosing and early signs of efficacy. Thus far, Qarziba is significantly outperforming our initial underwriting assumptions from when we purchased this just 1 year ago. In future development stage catalysts, Agenus announced that they've aligned with the FDA on their Phase III trial design and have stated publicly that they anticipate they will initiate their Phase III study in the fourth quarter of 2025. They also entered into a partnership with Zydis, raising over $90 million of capital at closing with a potential for $50 million in contingent payments, a very positive capital raise in what is a tough fundraising market. Alda completed full trial enrollment ahead of schedule in their Phase III trial in microcystic lymphatic malformations in June of 2025, with results anticipated in the first quarter of 2026. Additionally, the Phase II trial results in venous malformations are expected in the fourth quarter of 2025. Moving back to commercial stage developments. I would like to talk about 2 exemplary case studies that demonstrate the power of our business model, Zelsuvmi and O2vber. First, we will discuss Zelsuvmi. Our commitment to bringing Zelsumvi to patients has required vision, scale and commitment. Through our special situation strategy and talented team, we accomplished the following: -- we acquired the Novan nitric oxide platform out of bankruptcy for $12 million at the end of 2023. This is a broad platform that enables the use of nitric oxide in a breadth of topical therapies. Almost $400 million had been invested in the development of this asset. We also set up a subsidiary to incubate and hold the assets to maximize optionality. Zelsuvmi, the lead product, achieved FDA approval at the beginning of 2024 in the indication of Molluscum contagiosum, a highly contagious primarily pediatric skin infection with no other take-home prescription treatments available. We restarted manufacturing, hired a world-class commercial leadership team to focus on the approved asset and recruited 2 highly experienced commercial Board members. We engaged in market planning to position this important infectious disease product properly in the market and began market launch planning. Finally, we ran a financing process, which culminated in a $50 million financing coincident with a reverse merger to form a newly traded public company, Pelthos Therapeutics. Pelthos has now launched Zelsuvmi into the market. The result, Pelthos is now publicly traded on the New York Stock Exchange under the ticker PTHS. The current market value of Ligand's equity stake in Pelthos is approximately $100 million. Following the recent commercial launch of Zelsuvmi, Ligand earned a $5 million milestone payment. After just 18 months, Ligand has public equity today worth substantially more than our invested capital, an attractive 13% royalty on an exciting product. We've retained strategic ownership of a nitric oxide platform, which can produce new products and royalties in the future and a pipeline of late-stage clinical programs with potential in wound care, ontomycosis and atopic dermatitis that offer the potential to generate multiple new royalty streams in the future. Pelthos initial forecast estimates peak sales of $175 million in revenues. That assumes they capture just under 100,000 patients in a market with 16.7 million patients. At a $175 million peak sales estimate, that would be approximately $23 million per year to us in royalties in the U.S. market alone. We are optimistic. In summary, what our team accomplished in a difficult fundraising environment was nothing short of outstanding, and we're excited about the prospects of Pelthos and Zelsuvmi. Next, we will discuss the O2vir case history. As Verona's launch of O2vir gains momentum, I'd like to provide a brief overview of our investment history in this asset. In October of 2018, Ligand acquired Vernalis, a U.K.-based drug discovery biotechnology company with a broad portfolio of partnered programs, including Verona's ensifentrine now marketed as O2vir. The acquisition cost was $10 million net of cash on the Vernalis balance sheet. After operating the research business for 2 years, Ligand sold the Vernalis R&D operations to HitGen, a Chinese-based company for $25 million, while retaining the economic rights to several fully funded and partnered programs, including O2vir. During 2024 and early 2025, Ligand further strengthened its position by accumulating an additional 1% royalty interest in O2vir from several of the original inventors, increasing our total royalty to 3% -- we expect meaningful long-term revenues from O2vir, making it one of the most capital-efficient royalty assets in our portfolio. Turning to the next slide. Varonis O2vir is on track to achieve blockbuster status by 2027. For context, our previous long-term royalty outlook had anticipated reaching this level of sales by 2029. In July, Merck announced its acquisition of Verona for $10 billion. We believe Merck's global scale and commercial strength positions them to further accelerate O2vir's launch trajectory. Some analysts now project peak sales of $5 billion to $6 billion for O2vir, which would be meaningful upside to our current long-term outlook. Moving to the next slide, I would like to highlight what strategically differentiates Ligand. The first is focus. Our guiding objective is to deliver profitable compounding growth. We pursue this by remaining disciplined in our investment approach and identifying underappreciated but high-quality assets that address significant unmet need. Second is our asset base. We manage a diversified and growing portfolio of royalty assets that generate consistent and predictable revenue. Our royalty interests are acquired or originated in late-stage development and commercial stage assets where we see a superior risk/reward profile. Third is our team. Ligand's highly experienced team brings decades of expertise across investing, clinical development, operations, regulatory strategy and deal structuring. Coupled with strong origination networks, this enables us to source and close high-quality royalty investments in areas of significant clinical value with relatively low risk. We are outcome-oriented and remain focused on executing our strategy of acquiring high-growth, high-margin assets that require de minimis operating expense investment. Today, royalty capital still represents a small fraction of the total capital deployed across the life science sector. We believe that our model is highly differentiated, scalable and positioned to drive significant growth for years to come. In conclusion, the strength of our investment portfolio of over 90 assets has never looked better. Through our disciplined investment approach, we continue to create and unlock shareholder value through innovative strategies, and we are highly optimistic about the future of Ligand. I'll turn it over to Paul Hadden now for an update on our investment pipeline and our recently announced investment in Orchestra Biomed.
Paul J. Hadden: Thank you, Todd. In the first half of 2025, we continue to execute on our strategy of partnering with companies, both public and private, to provide creative nondilutive capital solutions. In the first half of this year, we saw record-setting origination activity. We remain focused and disciplined, deprioritizing investments that lack sufficient return potential or strategic portfolio fit. We currently have approximately 25 active investment opportunities under review, representing an even balance between accretive and pre-approval transactions. Since the start of the year, we closed 4 new investments, including Castle Creek, the final O2vir vendor buyout, the merger of Pelthos Therapeutics and Channel Therapeutics and our most recent investment with Orchestra Biomed. I would note that all 4 investments exemplified our flexible investment strategy, including royalty monetization, project finance and special situations investments. I'd like to highlight our most recent investment with Orchestra Biomed, a NASDAQ-listed company. Last week, we announced a $40 million tranche investment in 2 of Orchestra's innovative FDA breakthrough designated medical device programs, AVIM therapy and Virtu Sirolimus angioinfusion Balloon, or SAB for short. Medtronic, Orchestra's development and commercial partner for the AVIM program, also committed $31 million in new capital. Orchestra also raised $40 million in the public offering, bringing the total committed capital to $111 million, one of the largest medical device capital raises this year. Our investment helps fund the development of these 2 breakthrough technologies, which are in late-stage development. The first program, AVM Therapy, is partnered with cardiac pacemaker leader, Medtronic and has already begun its pivotal trial. It was granted FDA breakthrough designation just this past April. AVIM therapy, a simple firmware upgrade is designed specifically to leverage the pacemaker's existing capabilities to manage blood pressure without additional hardware changes. As a result, AVIM therapy occupies a specialized niche in treating hypertension in patients already indicated for a pacemaker. The second program, VirtuSAB, is partnered with Japanese medical technology company, Terumo, and is nearing pivotal study initiation. As mentioned, it too received FDA breakthrough designation. Virtu is an innovative first-in-class medical device designed for the treatment of arterial diseases, particularly coronary in-stent restenosis. It represents a significant advancement over traditional drug-coated balloons and stents because it does not rely on a surface drug coating. Instead, Virtu uses a proprietary non-coated MicroPorce balloon to deliver the drug. Our $40 million investment consists of a $20 million payment at closing, an additional $15 million to be funded at the 9-month anniversary from closing, and we also invested an additional $5 million to purchase shares of Orchestra common stock. In exchange, we will receive a high teens royalty on the first $100 million of Orchestra revenues annually from these 2 licenses and also a mid-single-digit royalty on Orchestra's license revenues greater than $100 million per year. Our strategic collaboration with Orchestra reflects our commitment to investing in innovative, derisked late-stage therapies. This partnership expands our diversified portfolio of potential royalty-generating assets into the medical device space and moves us closer to our goal of delivering innovative therapies to patients. With that, I'll turn the call over to Octavio.
Octavio Espinoza: Thank you, Paul. I'm pleased to report another strong quarter of financial performance. Total revenue for Q2 '25 grew 15% year-over- year to $47.6 million. Adjusted EPS rose 14% to $1.60 per share, reflecting solid execution and continued operating leverage. Royalty revenue was robust, increasing 57% from the prior year to $36.4 million, underscoring the strength and momentum of our partnered programs. We ended the quarter with $245 million in cash and investments. When factoring in our undrawn credit facility, we have approximately $450 million in deployable capital to support our growth initiatives. Based on our performance year-to-date and the impact of the Pelthos transaction, we raised full year 2025 revenue and adjusted EPS guidance. I'll walk through the details later in the presentation. Moving to the next slide. Key drivers of royalty revenue growth include strong performance from Varonis' Ohtuvayre, Travere, Filspari, Recordati's QARZIBA and Merck's CAPVAXIVE and Vaxneuvance. Expanding on a few of these programs, we continue to be highly encouraged by the launch of Ohtuvayre for COPD. Verona reported a 45% sequential increase in Q2 2025 sales of $103 million, and we anticipate its strong launch trajectory to continue throughout 2025 and beyond. Turning to Filspari. We continue to see strong commercial momentum. Travere reported Q2 sales just last night, in line with our internal estimates and representing robust year-over-year growth. This performance underscores the growing adoption of Filspari in IgA nephropathy. Merck's CAPVAXIVE and Vaxneuvance also grew this quarter, reinforcing Merck's competitiveness in the pneumococcal vaccine space. CAPVAXIVE generated $129 million in sales, a 21% sequential increase after more than doubling sequentially in Q1. And Vaxneuvance generated $229 million in net sales, representing a 20% year-over-year increase, driven by favorable public sector activity in the U.S. and stronger demand in select international markets. Jazz reported Rylaze sales of $101 million and Amgen reported Kyprolis sales of $378 million, representing a 7% and 17% sequential increase, respectively. On Captisol, we recorded $8.3 million in material sales this quarter compared to $7.5 million in the second quarter of 2024. The increase was driven primarily by demand from Gilead to Veklury. Turning to operating expenses. R&D and G&A combined expenses increased in the second quarter, primarily due to headcount growth and investments made to incubate the Pelthos business. For the quarter, G&A and R&D expenses were $6.6 million and $20.2 million, respectively, versus $5.4 million and $17.6 million in Q2 2024. We expect GAAP operating expenses to decrease in the second half of the year given the deconsolidation of Pelthos effective July 1st. GAAP net income for the quarter was $4.8 million or $0.24 per diluted share compared to GAAP net loss of $51.9 million or $2.88 per share in the prior year period. On a non-GAAP basis, adjusted net income for Q2 '25 was $32 million or $1.60 per share, up from $25.8 million or $1.40 per share in Q2 '24, driven primarily by royalty revenue growth. This next slide reflects the long-term royalty receipts outlook we introduced at our Analyst Day in December 2024. At that time, we outlined a path to achieving a 22% compound annual growth rate in royalty receipts from 2024 through 2029. That projection is supported by our existing commercial portfolio, which we expect to grow at a 13% CAGR and our risk-adjusted development pipeline referred to as the Pharm team, which adds another 5% CAGR. The model reflects contributions from key programs, including Filspari, Ohtuvayre, Qarziba and Zelsuvmi, with all inputs grounded in conservative assumptions. The balance of growth is expected to come from future deals and investments which remain a meaningful upside lever. While we continue to view this framework as a solid base case, several recent developments give us increased confidence that upside to this outlook is achievable. Turning to the next slide. I'll highlight a few notable updates, each of which has a potential to meaningfully enhance our long-term royalty projections. First, Ohtuvayre is tracking well ahead of initial expectations. As I mentioned earlier, Verona's Q2 sales grew 45% sequentially and consensus forecasts now project $2 billion in sales by 2029, up from $1.2 billion previously. As a 3% royalty holder, Ligand stands to benefit materially from this upside. Second, Filspari continues to perform well commercially, and we're closely watching the upcoming PDUFA decision in IgAN later this month, along with a potential AdCom in the fall for FSGS. If approved, the FSGS indication could significantly expand Filspari's market opportunity, potentially north of $1 billion in FSGS alone according to sell-side analysts. As we track data readouts, regulatory events and commercial progress over the coming quarters, we'll evaluate whether updates to our long-term model are warranted and plan to share a refreshed outlook at our 2025 Analyst Day in December. Before I turn to our financial guidance, I want to touch on the deconsolidation of Pelthos, which became effective on July 1st and informs part of our updated outlook. We now own approximately 50% of Pelthos' outstanding shares, which will be reported on our balance sheet beginning in Q3. These shares will remain restricted until the 6-month lockup period expires. As of today, the estimated fair value of our stake in Pelthos is approximately $100 million. Now turning to guidance. In Q3, we expect to recognize a gain on the sale of Pelthos to Channel Therapeutics, reflecting the difference between the fair value of the consideration received and the net carrying value of Pelthos' net assets. This gain includes the upfront consideration received on the Zelsuvmi out-license component, which we intend to retain in our adjusted earnings. The remainder of the gain, along with prior incubation costs will continue to be excluded from our non-GAAP guidance and results. With that context, here's how our revised full year 2025 guidance is shaping up. Royalty revenue is now expected to be between $140 million and $150 million, up from the prior range of $135 million to $140 million. Captisol sales remain unchanged at $35 million to $40. Contract revenue, which is where we'll capture the value of the upfront fee on the Zelsuvmi out license component has increased to $25 million to $35 million, up from $10 million to $20 million. Total core revenue is now expected to be in the range of $200 million to $225 million, up from $180 million to $200 million. And we're raising core adjusted EPS to $6.70 to $7 per share compared to the previous range of $6 to $6.25 per share. These updates reflect not only the impact of the Pelthos transaction, but also strong underlying growth and increased visibility into our royalty streams, particularly from Ohtuvayre, FILSPARI, Qarziba and Capvaxive. That concludes my remarks. I'll now turn the call back to Todd for closing comments.
Todd C. Davis: Thank you, Tavo. Last year, we saw an unprecedented number of new approvals across our portfolio, including Zelsuvmi, Capvaxive, Ohtuvayre and the full approval of FILSPARI. In 2025, we are pleased with the strong launch trajectories of these therapies and are confident this momentum will continue. We are optimistic that Merck's global scale and commercial expertise will further accelerate the launch of Ohtuvayre, and we couldn't be more encouraged by the progress the Pelthos team has made with Zelsuvmi. Our investment platform continues to provide us with the ability to meaningfully expand our portfolio. With a diversified foundation of commercial royalty-generating programs and a robust late-stage pipeline, we are well positioned to execute on our strategic objectives and deliver sustained growth and long-term value for our shareholders. Thank you, everyone, for joining us for today's earnings call. I will now pass it back to the operator and open it up for questions.
Operator: [Operator Instructions] And your first question comes from the line of Trevor Allred of Oppenheimer.
Trevor Thomas Allred: What can you tell us about your expectations for the Pelthos launch? Are these most severe kids seen at pediatric dermatologists? Can you say anything about your prior market research that might suggest initial market demand?
Todd C. Davis: Yes. Thanks for the question, Trevor. And we're very optimistic about the launch here around Zelsuvmi. First of all, and kind of core to our strategy is we partnered with a very strong team here. Commercially, this is a very experienced team. It's done multiple product launches in their career, and we have a lot of confidence in their ability to navigate the product launch with payers, the promotional activities, et cetera. Our research over the last 1.5 years has really shown high demand for this product. There are current treatments that are executed as in-office procedures. They work, but they are inconvenient and sometimes painful. And the Zelsuvmi product is a take-home prescription product, which is much more convenient. You have a very motivated patient group here in the form of the parents, often of the kids with this highly contagious skin infection, which is disruptive to their lives and ability to participate in activities at school and things like that. So we are pretty optimistic. And then finally, I would just say also, I think the forecast expectations here are very reasonable and in fact, conservative because at 175 million in peak sales, which is what they're currently targeting, that captures fewer than 100,000 patients in a market with approximately 16.7 million patients and a dearth of current solutions. So I mean, we're just very optimistic about the potential for this product.
Trevor Thomas Allred: And can you also share some expectations for what you think the Filspari removal might do to improve uptake? Have you guys done any internal diligence there to see what the potential step-up in revenue could be?
Lauren Hay: Yes. Trevor, this is Lauren. Thanks for the question. I think it's a very timely one. So Travere has not shared a quantitative estimate for their expectations for increased uptake, but I can give you sort of a directional sense for where we see this headed. As we know, Filspari is really expanding its usage in earlier-stage patients. As a reminder, when Filspari was under accelerated approval, the treatment could only be used in 30% of IgAN patients due to label restrictions that limited its use to patients with proteinuria over 1.5 grams per gram. And with full approval, Filspari is now kind of moving into the full spectrum of IgAN patient severity and kind of moving into earlier lines of treatment. So Travere has recently shared that over half of patients who are now starting Filspari have proteinuria in the less than 1 gram per gram -- less than 1.5 grams per gram segment. So it is moving earlier in the treatment paradigm. And with that, what we see is that the REMS modification should help to remove a barrier to utilization in that kind of earlier-stage patient segment. The quarterly monitoring aligns pretty well with the kind of routine monitoring frequency of visits to the office, anyway. So we're optimistic about the opportunity in this earlier stage segment that sort of aligns with the natural progression of usage of Filspari with the full approval.
Operator: And your next question comes from the line of Doug Meem from RBC Capital Markets.
Douglas Miehm: [indiscernible], when you think about the guidance that you provided, where it looks like at the middle of the range, we're up both around 12% for revenue and EPS. Can you tell us why we're not seeing, perhaps maybe a little bit more operating leverage in the model? The products are doing better than anticipated. And I'm just curious why this isn't falling more down to the bottom line and to cash flow.
Todd C. Davis: Yes. Thanks, Doug. Appreciate the question. A couple of factors driving that dynamic, if you will. One, on the operating expense side, we're just being a bit cautious as we spin off the Pelthos operation. On top of that, we are looking to make some investments in our business development function given the richness of the funnel there, if you will. Separately and probably more impactful here are the tax rate. We're getting more revenue coming in from foreign operations in the U.K. for O2ir. That's a U.K. legal entity that we have to pay taxes into that country, and then also for the Pyiron acquisition, which is an Austrian company. The tax rate that we pay into Austria is also a little bit higher than our statutory rate, and the mix of revenue there has come in a little bit higher, given the outperformance of those 2 products. And then separately, the share count, as our stock price goes up, our forecasted dilution as a result has moved up. And so that's also causing a little bit of a drag towards the bottom line.
Douglas Miehm: Okay. That's really helpful. And then, Todd, the O2vir situation is very attractive, obviously. But we have seen some cases in this market of royalty ownership where we've seen an acquisition by a big pharma company that the big pharma company has also approached the royalty holder. Have you been approached by Merck to buy back the royalty on this asset?
Todd C. Davis: The answer to that is no. And we tend to be long-term royalty holders here. We don't really have an intention of selling any of our royalties at this point. So it's just not core to our strategy.
Operator: And your next question comes from the line of Matt Hewitt of Craig-Hallum.
Matthew Gregory Hewitt: Congratulations on the strong quarter. Maybe first up, a little more higher level, but given all of the changes and nuances coming out of Washington, how is that impacting your pipeline? How are you looking at opportunities given the constant news flow regarding various products and markets?
Todd C. Davis: Well, I think our view on that, Matt, is very macro in that there's been descending price pressure on the pharmaceutical industry that's been pretty heavy for the last 15 years, and we expect that to continue. And maybe over the next 10 years, we'll even get to kind of pricing parity with Europe and other markets here in the U.S. market. And that's just our long-term view. That's what we put in our models. And the best position to be in, in that kind of environment, regardless of how it comes down specifically, is to be investing in drugs that really deliver very high clinical value and solve big problems because ultimately, that puts you in the best position to negotiate with payers. And so that's one of the reasons we're very focused on investing in things like Palvella's products, the Pelthos product. Both of those are 0 to 1, 0 treatments, first treatments in categories. We like those kinds of opportunities. And that's really the best position you can be in, in what will be a challenging payer market for the entire industry going forward.
Matthew Gregory Hewitt: Got it. And then maybe a question for Octavio. But with the increase in contract guidance here for the rest of the year, roughly $15 million, how should we be thinking about the cadence? It sounds like the bulk of that will hit in Q3 with the Pelthos transaction, but how should we split up that $15 million of incremental revenues there?
Octavio Espinoza: Yes, Matt, what you can expect in Q3 is that out-license component, that's the main driver of the increase to that category or that line item, if you will, in the guidance. We also earned a $5 million milestone on the commercial launch of Zelsuvmi. And so that's also going to be coming through in Q3. And then the balance you'll see in Q4.
Operator: And your next question comes from the line of Larry Solow of CJS Securities.
Lawrence Scott Solow: Joined a little late. Just a follow-up on the guidance question. In terms of the bottom-line increase, are you changing anything in terms of operating expenses? I know you guys have been investing more in the business development team. But it looks like just if I do the math, actually, the revenue increase, if I kind of flow that through the normalized tax rate, it should be about $0.75. So it looks like maybe that's all pretty much flowing to the bottom line, right? It doesn't look like there's much change on the expense assumption. Is that fair?
Todd C. Davis: There some incremental increase in operating expenses. But yes, it's just incremental. And then there's also some movement, as I mentioned earlier, some movement on the shares outstanding that impacts the EPS. But in terms of just the net income, it's going to be the operating expenses and the tax rate that's moving up a little bit.
Lawrence Scott Solow: Got you. And on the ZELSUVMI, I know you talked about $175 million kind of target ultimate sales goal. I imagine that's like a 3- to 5-year, maybe 5-year target or something like that. Just curious, are you actually building much into the back half this year? I imagine it takes a little while to gain traction, or just anything anecdotally you could provide?
Todd C. Davis: Yes. Now, I think launches are hard, even though we're very confident in this team. So we have pretty small expectations for this year as they're just getting out of the blocks, but view it as a very good long-term contributor, Larry, as you pointed out.
Lawrence Scott Solow: Got you. And just lastly, just on M&A and business development. Obviously, you guys have been super active in the last couple of years, and kudos to you on that, and an interesting recent deal as well. Just how is the pipeline looking? Obviously, your balance sheet remains really strong. Just curious if lots of opportunities in front of you. Any thoughts on that?
Todd C. Davis: Yes. Thanks for the question, Larry. Pipeline looks strong. I think we've been pretty consistent this entire year, that's been robust. The mix of both accretive and pre-approval opportunities, and the team remains hard at work. So thanks for the compliment, but we definitely are working through that pipeline and looking to bring in attractive assets for the balance of the year.
Operator: And your next question comes from the line of John Vandermosten of Zacks FDR.
John D. Vandermosten: And I appreciate all the detail on the movement there in the income statement coming up in the future. I wanted to ask a question about Merck's ownership of Verona and how it will add to O2vir's potential? And specifically, what can they do to expand the market given their dominance is one of the largest pharmas?
Todd C. Davis: Well, I think what we're really seeing there is kind of their global capabilities. Obviously, Verona was a smaller company. I think in general, the expectations around a smaller company's ability to execute globally is obviously a slower rollout. And in the hands of Merck, I think as well as Verona did, by the way, we think they did an amazing/outstanding job. Globally, Merck is very strong, and so we expect the rollout globally to accelerate in their hands.
John D. Vandermosten: Okay. And a question on Orchestra BioMed. Is it, I guess, assumed that Medtronic is going to provide the commercialization pathway for their pipeline therapies?
Todd C. Davis: So yes, correct. Medtronic is the commercial partner on the AVIM technology. And then Terumo is a commercial partner on the Virtu SAB balloon. So, there's 2 partners involved there.
Operator: And this does conclude our question-and-answer session. I would like to thank our speakers for today's presentation, and thank you all for joining us. This now concludes today's conference call. You may now disconnect.